Operator: Good morning. Welcome to SuperCom's Third Quarter 2018 Earnings Conference Call. Joining us on today's call are SuperCom's President and Chief Executive Officer, Arie Trabelsi; and President of SuperCom Americas, Ordan Trabelsi. Following their remarks, we will open up the call for questions. Before we start, I'd like to point out that this conference call may contain certain projections or other forward-looking statements regarding future events or future performance of the company. These statements are only predictions, and SuperCom cannot guarantee that they will, in fact, occur. SuperCom does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of changing market trends, reduced demand and the competitive nature of the security systems industry or due to risks identified in the documents filed by the company with the Securities and Exchange Commission. In addition to disclosing financial results calculated in accordance with the United States Generally Accepted Accounting Principles, GAAP, this call also contains non-GAAP financial measures, which SuperCom believes are the principal indicators of the operating and financial performance of its business. Management believes non-GAAP financial measures provided are useful to investors understanding an assessment of the company's ongoing core operation and prospects of the future, as the charges eliminated are not part of the day-to-day business or reflective of core operational activities of the company. However, such measures should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations of the non-GAAP measures to the most comparable GAAP measures are provided in the schedules attached in earnings release. At this time, I would like to turn the call over to Mr. Ordan Trabelsi. Sir, please proceed.
Ordan Trabelsi: Thank you, Operator. Good morning, everyone, and thank you for joining us today. Remarks today will be short and focused. Earlier, we issued a press release of our financial results for the third quarter of 2018. A copy of which will be available in the Investor Relations section of our website. We estimate results for the third quarter '18, continuing sequential quarterly improvements in earnings this year reaching EBITDA of $1.8 million and non-GAAP EPS of $0.09 for the third quarter. And totaling EBITDA of $4.7 million and non-GAAP EPS of $0.23 for the nine months period ended September 30, 2018. Furthermore, our steady-state recurring revenues have stayed strong and we have seen a continued shift to our customers and developed nations, representing about 70% on the revenues this quarter, a significant increase in our presentation from last year. Revenues are at $6.1 million this quarter, down year-over-year. But this is mainly attributed to minimal e-Gov project deployment revenues this quarter, which were meaningful in 2017, contributing about $8 million for 2017 annual revenues. e-Gov's project revenues can be lumpy. And over the past four years, have range between $3 million to close to $20 million annually based on the progress of the projects being deployed that year. Given our sound track record in this niche industry, successfully deploying large scale EIG projects the national governments around the world, our technology and our pipeline, we expect more wins and increases in e-Gov project revenues from 2018 levels. We had a big focus this quarter and much as this year on the current revenue base deployments for customers and developed nations such as the U.S., Denmark, Sweden, the UK and Canada wwith 13 ongoing project deployments in IoT business segment and various new ones in our Cyber Security business segment. In the recent past we’re expanding into new countries and governments faster than ever before with an exceptionally high run rate. This brings us to over 16 concurrent multiyear project deployments globally, which are expected to also generate long-term recurring revenues for years to come as well as additional business from customers references. As the revenues from each of our business segments grow, we expect gross margins to grow as well, leveraging the fixed costs, which make us part of our cog such as 24/7 maintenance and tech support. Furthermore, our team of outstanding employees around the world, have been working exceptionally hard this year to tighten manage cost, unleash operational synergies and cutout redundancy. And this is a significantly improved operating structure we've reached in this quarter. Non-GAAP gross margin was high as 59%, and sequential and year-over-year quarterly improvements to non-GAAP core operating expenses reaching a low of $2.5 million this quarter, a 41% improvement or $4.2 million in the previous year period. We are seeing sequential and year-over-year improvement to EBITDA margins as well reaching a highest 30% this quarter. We haven't seen this kind of numbers at SuperCom in years, they resemble, the lean operating structure of 2015 before acquiring five additional companies, most of which were out of bankruptcy. Yesterday our business prospects are multiples greater with two additional business segments and growth engines, IoT and Cyber Security. Over 50% growth in our steady-state recurring revenue and major presence in developed markets with more predictable revenue and payments and significant enhancements to our technology portfolio backed by 190 impact. Some additional update. We’ve also been successful in securing $20 million credit facility from funds managed by Fortress Investment Group, a largest investment management firm with about $40 billion under management as of June 30, 2018. This allows us to grow our working capital to properly deploy our numerous ongoing multiyear projects as well as signal to potential customers and partners that we have capacity to be earned more. The term of the credit is four years at an interest rate of 7% to 8%, plus LIBOR, and the amount strong and outstanding. The 7% to 8% depends on the EBITDA levels. Our working capital at the end of the quarter reached $18.6 million, up from the third quarter of 2017, and the earlier quarters this year. Our cash and restricted cash total was $3.1 million at end of the quarter. Our trade receivables have reached $17.7 million. While this number continue high, it's important to note that we’re dealing with percentage of completion project and national government and developing regions such as Africa, collections have historically taken worst on it. This is not unusual. What gives us confidence here is our track record in collections and understanding that the systems we operate national biometric passports, ID cards, [indiscernible] to name a few, are critical with the cooperation to the government. So we have to leverage here. Pay attention, once more. On $6.1 million in revenues this quarter, we generated non-GAAP EPS of $0.09 and EBITDA of $1.8 million resembling at 30% EBITDA margin. It was hard to reach this optimized cost structure. It’s a strong core. And with top line growth, we expect profitability margins to grow further. On top of that, we have a large pipeline of more project deployment opportunities in E-gov and IoT and Cyberspace. And while the timelines and wins for these project opportunities carry a level of uncertainty, our recent performance with increasing run rates gives us confidence that we’re on the right track. In summary, we’re working diligently on building a strong cooperating structure, which is lean and effective. And in parallel, are setting the run rate for continued and more predictable growth in our steady state recurring revenues. These items are not an execution or performing according to our business plan. At this time, I’ll move the call over to Arie.
Arie Trabelsi: Thank you, Ordan. As you just heard, we had a good third quarter at SuperCom highlighted their superior financial performance. Moving forward, we remain focused on growing our margin within greater level by winning new business and continuing our base ongoing deployments into long-term steady state recurring revenue generator. We’re closely looking at our prospect for the current year and year-end. And with that, we’re ready to open the call for your questions. Operator, please provide appropriate instructions.
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Bill [indiscernible]. Private Investor. Please go ahead.
Unidentified Analyst: Yes. Do you’ve a breakdown of the $17.7 million in receivables between developed and federal countries or an approximation there?
Arie Trabelsi: Can you please repeat your question?
Unidentified Analyst: Sure. The $17.7 million in receivables, do you have a breakdown between how much of that is from developed countries versus federal countries?
Arie Trabelsi: Okay. I doubt we do not provide this time this number. But I would say that most of the numbers is from emerging countries.
Unidentified Analyst: Okay. And then could you add anymore colors to why that’s increased from, it was $12.5 million at December '17, and now at the end of the third quarter, it’s $17.7 million?
Arie Trabelsi: Okay. As Ordan mentioned in discrete, there are two generators for this number: one is slow payment that is very common with emerging countries. But as we also mentioned, they always paid at the second time. So we’re confident with this payment. And the other element is revenue that are generated on this -- set of completion, which is not fully [inversed] but we have the revenue now. This is mainly the reason for the change. But we believe this number is running down as we already received a collected sum of the AL in first months of October. It’s really the first months of the fourth quarter.
Unidentified Analyst: Okay. And then for the -- I know you had $24 million of steady-state revenues reported in 2017. Is that $24 million independent of the revenue streams that will be generated on these 16-plus new deployments?
Arie Trabelsi: Can you repeat the question again, please?
Unidentified Analyst:
.:
Arie Trabelsi: Some of the new deployments have already started generating recurring revenues, so some of that could fall into $24 million. But the majority of the revenues from the new deployment have not recognized yet.
Unidentified Analyst: Okay. Thank you. And then for the new credit facility, will any of that be drawn on to pay back $3.8 million of related party 0% loans from RAS [ph]
Arie Trabelsi: Okay. We can also relate this question yet. But we may inform this at our press release once this being done.
Unidentified Analyst: Okay. And then the new $5 million long-term loan on the balance sheet is that from the new credit facility? Or where is that from?
Arie Trabelsi: Yes, yes. This is -- we already drawn this $5 million which is on our balance sheet.
Unidentified Analyst: Okay. And then an -- do you have any updates or which you willing to share the number of shares purchased in the open market since you've announced that potential of up to 1 million shares press release?
Arie Trabelsi: We cannot. I cannot provide this number. But this number will be provided later on next week.
Unidentified Analyst: You’ll provide this. Okay, excellent.
Arie Trabelsi: Yes.
Unidentified Analyst: Okay and then, on the EID space, over the last three to four years, it's been mentioned numerous times. You're looking at contracts in the $10 million to $100 million ranges being actively pursued in the pipe. The largest contract I'm aware of that was announced that $9 million Columbia deal. Do you have any further color on the potential for greater than $10 million government ID contract being awarded?
Arie Trabelsi: As we mentioned, I think, numerous times in the past, most of the EID contracts or tenders has a very long sales cycle, and even though there's an award, which takes additional years -- sometime years or many months before the contract is signed due to appeals of some other process being done, especially in the major countries, so most of those tenders out there. There are still -- tenders above $50 million or $100 million were still out there. And we didn’t know it will be awarded or not, but right now the way we grow our budget and forecast, we are not taking them into an account. But if one of them will be awarded, there is going to be a major upside to our numbers.
Operator: Thank you. Our next question comes from Kevin Dede with H.C.W. Please go ahead.
Kevin Dede: Hi guys, its Kevin Dede. Arie, Ordan, can you talk about the pipeline a little bit? Can you just two of you getting back -- so you've got a view to what you're seeing, especially in e-Gov. I know you touched on it a little bit. But I think, we all appreciate hearing a lot of bit more regarding the tenders that you’re seeing and the progress that you are making on them?
Arie Trabelsi: Okay. First of all, in general, we have right now three types of businesses: one in the cyber security in general because that is short sales cycle. We sell mostly licenses and maintenance of short cycle and most of the times result in the current quarter. The second one, which is our fast growing business, right now, which is the IoT. What we have is we’ve already above 13 deployments of project that we're in. But in addition to that there are some other tenders that we already proposed and are in different stages. We believe that we have a good chance to be final them. Some of them are in the peak stage, and there are other tenders, which we’re bidding on. And based on our wining rate, in the past two years, we have developed in this area. Each one of these tenders -- once it became contractor provide us, we then call the revenue for many years. The third division, which is our EID or the e-Gov. We went through period of times to bidding only on very small tenders with the majority of our contracts up to three years ago, four years ago, and then we did the acquisition division of AID. We started also to be on a very large tenders, especially when our balance sheet, while we need support for that. Unfortunately those very large contract tenders -- a lot of time, there is lot of fight and process there. So most of them are not aware of it yet, and we did not see any of them although there were cases that we’re awarded, but we did not sign any contract. We continue to see high demand from this kind of tradition both for all the module of the AID and e-Gov. We continue to be there. But we have decided to try to clarify our effort there to -- in area that we believe that there a better chance to win also to sign the contract to fight with additional and less progress there. So we’re optimistic that the recurring revenue from the AID will continue to be there. And we're optimistic that once that conclude the changes the way we've been, we will get additional contract in AID which will give distributional cash generating for the next year.
Kevin Dede: Okay, thanks. I appreciate that.
Ordan Trabelsi: I want to add just further. In IOT which it has some revenue growth, we’ve entered into over 10 new countries in the past 2.5 years. And we have a big array of opportunities in European and in U.S. Our win rate in Europe was about 50% last time. We did analysis than the last year. And we understand the market very well. It’s a niche market. We know all the players. And we expect to continue winning of strong rates in Europe and in U.S. And in e-Gov, we know the market very well as well. It's also a niche market, up to 20 players. We've been in the market for 30 years. And while the pipeline is there are much larger, the win rate is little smaller. But we're effectively been in there. And Cyber security, smaller bids, but more consistent and with the larger enterprises that is at our current customer base. Some more color.
Kevin Dede: Should we take away some of your commentary that you’re trying to refocus little bit in the e-Gov, and target maybe smaller tenders versus the larger ones? Or you think you might have a better chance?
Arie Trabelsi: First of all, we’ll probably be it more on tenders as we’re going to be in the range of [indiscernible] and with the larger one we will try to have more joint venture with local group or other group in this country to increase the probability of win because our technology is one of the best. But we need, in many cases support in some other area, mainly because of the protest -- many protests and some other legal issues in the country. So in some cases, probably [indiscernible] to some local or large organizations that provide -- that I [indiscernible]
Kevin Dede: Okay. So given that, we’re about half-way through the December quarter, can you give us a view to what you will expect? The revenue so far or in the first half pretty, seen pretty consistent in the $7 million range and we kind of stepped down here in September. And I am just wondering what you think the trajectory in short term?
Arie Trabelsi: As you already know we’re not just talking about numbers going to be in the fourth quarter, but we do see that our recurring revenue continue to increase mainly due to the fact that many of the [indiscernible] already started to that -- recurring revenue from that. We’ve some contracts that we hope that will be able to start this quarter. And so we believe that we’ll see an increase in our revenue and we may see a large increase in our revenue for in the year 2019.
Operator: Our next question comes from Mike Vermut with Newland Capital. Please go ahead.
Mike Vermut: Can you just give me a look, if we -- as we rollout the 16, again, as new deployments and -- we’re fully deployed on them, I guess, over -- it’ll be over the next year. Where we stand on the recurring revenue level? And then where you think margins will be -- what our incremental margins are on this revenue?
Arie Trabelsi: Some of -- so big part of the projects would deploy over the next year, some might take a bit longer depends on the government. Some of our customers, let’s say they have 1,000 units to deploy to take it in text based on our confidence levels. We’ll scale up to the fore mount [indiscernible] grow the project, and take more, which is what we’ve been experiencing in California, for example, continued growth with existing customers path beyond their original project cycle. We estimate for an IoT space for the project, around 13 projects, there’s a lot of variety. In Europe, we know we’ve a better sense of the size. And maybe we’re looking at $2 million to $3 million of additional recurring revenue from there at the base stage before they grow. And the ones in the U.S. are kind of open-ended. So shall start with the customer, we don’t know how much it’ll grow? It could be ever momentum on top of that. So the $2 million to $3 million could turn into $5 million or $6 million or $7 million. So it depends from the customers that we have now. But we are seeing a good growth in IoT industry for pretty much all of our contracts. So we expect also for these -- from their ongoing deployments that we'll have growth beyond what we see today.
Ordan Trabelsi: So we take a step back on this. Our current state, before I just want to say, roughly $25 million of revenues that's sort of the base case for next year and then we can layer on another 10%, 20% as a base case -- as these get with what we have in hand.
Arie Trabelsi: So if look at the $24 million was for 2017 steady-state revenue, assuming that that those revenues data saying we'll just add them on top, and you're looking an additional [indiscernible] between $2 million to $5 million of our steady-state additional from the product deployments.
Mike Vermut: Another quick -- in margins, where can we take the -- when we're looking forward, and we get these deployed, you're doing a great job on the cost side. Where do you think margins can go as we will design?
Arie Trabelsi: Contribution margins for a lot of these projects are much higher than our current gross margin. The reason why the average is lower because we have 24/7 monitoring and support that inventory management and another fixed costs that will stay fixed, and can get -- I mean, our unit counts can grow 5 to 10 times. And we still won't have this job so much our fixed costs. So we would expect gross margins to grow as the amount of units leveraging our operating structure for the IoT space. Similarly for Cyber Security, we have a very strong support center here out of Israel. And we have capacity from many more revenues and customers with that support center. And which will again push up gross margins. With e-government steady-state gross margins are very high the project deployment gross margins kind of vary from project to project that can be used in 40% to 70%. So on that technology business, it can vary.
Mike Vermut: Now, obviously the whole reason why our stocks here at $1.60 sort of great margins, great numbers. We need revenue to come in. It's a lot to do with the collections and the receivables on it. Can you just go over that another time, I assume, your confidence in getting the collections done. And how much due diligence Fortress did -- looking at these receivables before they committed to the $20 million? I assume they did a lot of due diligence on it?
Arie Trabelsi: Okay. First of all, as we mentioned earlier, some of that are not -- I mean, I am not in [indiscernible] percent of completion project. And as we mentioned along we can check that [indiscernible] for many years. Our bad debt is very, very low. We almost always collect like they are in all those countries sometimes it's slower, but we always collect. And we are providing a very critical system. And we do not believe that’s going from pay -- and always pay. So I will not be worried about that. And if such – we worry about that will have to give some provision for bad debt. And we did it only when we will file that it's unpredictable or there is probability like that. So please look at our financial statement for the year. In the past 10 years, you will see that the numbers for bad debt are almost zero.
Mike Vermut: Okay. So we should see this start to come down over the next few quarters?
Arie Trabelsi: Yes, they are we believe. It's already -- we already started to collect some of them in October and we would do that too. We will continue and we will see much of the AR number at the end of the year.
Mike Vermut: And then, two more quick ones. So will you -- when you come out and you report in the fourth quarter, will you be able to give us a look as to top line growth and bidding activity into '19? I assume from -- and you said this in like few of your releases that we expect to see nice growth in 2019 and beyond on the top line?
Arie Trabelsi: We do have general expectations. But we are not sure we’ll be at a point where we’re giving guidance. That is the question. There is a lot of moving parts, and we’re entering a lot of new segments. As I give examples of EM in the U.S, we’re excited to understand the size of these projects. It makes a little bit harder for us to give guidance. But we will probably continue to talk about our steady space.
Mike Vermut: And I have one last question.
Arie Trabelsi: I think it's important to know we can mention, maybe to repeatedly done [indiscernible]. I think we have done with very long mergers of all the divisions created the last three divisions that are our growth engines. Right now we are at the target of our optimization. And we focus on sales and implementation of projects. So all our effort is going to be aimed in this direction and I believe that the result is going to be appeared very shortly by seeing an increase in revenue. While we keep our margin high, we will see a very nice top numbers as well.
Mike Vermut: Now, last one here. And -- it's hard to find a company with your margin profile, your recurring revenues, your end markets, your profitability, right, at these levels. And you have the million, I believe, its share buyback authorized for you. If you do collect, would you take the Fortress and you get repaid on your loans to the company. Are you going to put that back into buying equity here? Is that the intention? And we will see a significant buying from you.
Arie Trabelsi: Okay. The answer for that is that, as I already announced with the 1 million shares, I didn’t know if I'd like to buy more shares that's because it's very large. I would like to let the market analyze and see with good opportunity and upside as we have been in this company, and to the market again backed, and by the shares. But, definitely if we see this kind of [indiscernible], I would be encouraged to continue buy shares in this level.
Mike Vermut: Okay. And we will see how much you've bought in the near-term?
Arie Trabelsi: I will update, yes.
Mike Vermut: Okay.
Arie Trabelsi: As you know, I'm limited in the windows when I can buy, lock period. So [indiscernible] are much shorter than the market, all the market because of inside trading. So as about one month [indiscernible] every quarter, we'll see doing the same.
Mike Vermut: Okay. I assume that window opens up in the next few days. So it’s a good chat. And I also want to congrats. You guys have done a great job on the cost side. And hopefully now is the time that we can start seeing some revenue path over 2019?
Operator: Thanks. Our next question comes from Bill [indiscernible] with First [indiscernible]. Please go ahead.
Unidentified Analyst: Just wanted to find out more in terms of the revenue shortfall here from $9 million to $6 million, and maybe you guys discussed this. But what’s -- and there’s no breakdown by segment, it’ll be in the 6-K. But can you go over why you did $6 million versus $9 million? Was it revenue recognition in e-Gove? Or can you just give me some more information on that, please?
Arie Trabelsi: Okay. Even the $9 million that was in the first quarter of first year was somehow higher than the other quarter in this year. But as we've mentioned in the past, there are some fluctuations in revenue in quarter, mainly when there’s a large deployment, office and occupation. And that -- I think that’s what we had last year in the third quarter. I think that we may see this kind of jumps in the future as well once we have deployment. But our goal is to increase our revenue mainly based on our steady state, which we’re keeping, increasing the base we’re generating them, and the fluctuation, like we’ve seen last quarter, last -- in the third quarter of 2017. We would like that we will be minimized and see more smooth growing revenue in the third quarter.
Ordan Trabelsi: And to get a little bit deeper -- as I mentioned on the script, in the prepared remarks, there’s very small amount of e-Gov project point of revenues this quarter, and mostly, entirely looking at our steady-state. And last year, in this quarter there were a lot of point revenues which were recognized. All of that, I think, it was $9.3 million or so project revenues. And this year I have a much small number for e-Gov, but I mean the base has changed. The base is the same but even growing. Our steady state revenues are doing great. And the project revenues for e-Gov, they always fluctuate, and over the past four years they moved to $3 million, and up to $20 million. They've done average sale of 9 or 10 per year, but this year we’re on the lower part of that average. And that’s why you’re seeing that [indiscernible]
Unidentified Analyst: Okay. And on the Cyber Security, you guys noted a few north of $100,000 contracts on by enterprises. Can you -- is that -- can you compare that versus last year? Or is this all going to be in the 6-K by segment revenues and gross margin contributions? Or can you just say a little bit more about that product or that segment?
Arie Trabelsi: Currently we -- on the Annual Report, the 20-F will breakout the business segments, e-Gov, IoT and Cyber Security. Cyber, we have been -- we have our ongoing customers that are ordering and we're sharing to new ones that we did bring up, for example, even here in Israel, a large customer, which, let’s say, an expert in the security field, the cyber security field themselves, which gives us a lot of confidence that there's still some of the most advanced cutting-edge technology players are still choosing our solution, spending 100s of 1000s of dollars on it. [indiscernible] solutions have been developed over the years and we're enhancing them adding more capabilities and new features. That's what we comment into -- on the cyber division.
Unidentified Analyst: Okay. And then on the foreign currency loss -- does that -- remind me, what's your foreign currency exposure, is that the shekel or what is?
Arie Trabelsi: It's shekel, where we -- our expense in Israel are in shekel. And the shekel has become sooner very stronger employment in '18 compared to '16, which is our base comparison than in '16. And so, when we try to compare our operating costs, alternate profitability to some of the higher points in '15, and '16 and '14, the shekel was much weaker as much easier for us to run operations here. Since the shekel has grown, but it is slowly weakening again in future, which should help us again in cash flow generation, all right, because China MasterCard [ph]
Operator: Our next question comes from Z Rhine with Sabra Capital Partners. Please go ahead.
Zvi Rhine: I won't beat a dead horse around the questions. But I understand that you have a critical role to play for these countries, and you have a lot of leverage. I suspect that the aging of your receivables is quite high beyond 180 and 270 days. So I suppose your question I would just hope that you guys are going to your counterparties, to your customers and telling them enough is enough. I mean, especially when you have to now start borrowing money at fairly high rates, they're in ability to pay or unwillingness to pay as this starting to cost you real money. So hopefully that trend that you said started in October continues and we'll start to see the receivable balance decline. But as it relates to the new loan at Fortress, is there a borrowing base associated with that revolver [indiscernible]?
Arie Trabelsi: It is in our borrowing base.
Zvi Rhine: Is it in ABL to an asset borrowing phase or it's just -- you have access. If you want to drawdown all $20 million, could to you tomorrow?
Arie Trabelsi: We have access to it. And we have to meet [indiscernible] covenant. But otherwise we have access to build to that amount out of money, yes. Place on receivable amount or something like that. Yes.
Zvi Rhine: Okay. So it's not an ABL, just the cash flow loan. And does it allow the company to actually repurchase shares? Or is there anymore strengths, restrictions and what you can do with that money?
Arie Trabelsi: Again, we cannot be sell to the details of this agreement. But in no way these agreements can expect annual business prospect or ongoing business. And it's not the goal. The loan of the credit facility, we just, both of our growth and support, our investment in current revenue facility as part of our IoT project.
Zvi Rhine: Okay. It sounds like you got a lot of positive momentum in the business and hopefully this third quarter report is the trough and it relates to revenues and your collection. Arie, I sincerely hope that it won't take until you may get your fourth quarter reporting, you guys have been working diligently to report on a timely fashion to get a quicker update on how you guys are progressing this year initiatives.
Arie Trabelsi: It's going to be much earlier than May. Yes.
Operator: Next question comes from Mike Vermut with Newland Capital. Please go ahead.
Mike Vermut: Just one quick follow up. I know some answers questions about the fourth quarter and have a good. Are we seeing a step-up in project revenue? And I guess the way you look at it -- was third quarter the trough on our revenue base? And I assume if that is the case, margin should continue to pickup and we will see a little bit even better bottom line number in the fourth quarter? And then I have -- just directionally is that the way you see it going?
Arie Trabelsi: It is possible. We haven’t been yet had and providing quarterly guidance. We’re in the middle of the quarter. And Q3 is mainly our steady-state that we’re seeing the strength of it. And we hope that we continue to see strong and project revenues are increased, but there's still lot of [indiscernible] at this point. We’re not structured in a way where we dive around the quarter.
Mike Vermut: Okay. But as a worst case scenario, you look at that the steady state is what we did in the third quarter?
Arie Trabelsi: We have seen fluctuations in steady-state in the past, but more or less, especially lately as most of them are coming from developed countries, and there are more software maintenance or software service per unit per day. And we’re seeing more consistency with the steady-state revenue over the quarter, lot of fluctuations there than in the past.
Ordan Trabelsi: But just -- as in general, the way we secure contract-by-contract, each one of those contacts is a new than it's a generally. So we see an increase in growth in our current revenue every quarter.
Mike Vermut: And then one last one, I just noticed that looking at it. We’re trading here, you've put that on an adjusted basis already, $0.23, $0.24 for the year; you're probably close to $0.30 plus for the year. We’re trading at $1.50. You have full confidence in the receivables. Is there a point where you look at this and say this shouldn’t be a public company anymore? And if the markets don’t want to give us the right valuation, we will look to do it on our own. There is a point where there is such as in this valuation and what is should be that it's an opportunity for management to take it private on their own?
Arie Trabelsi: Its winning portion, but we still believe we’ve have a lot of investors and shareholder interest shares in the higher level. And our goal is to increase share value. And we believe that we're going to be there. We do not think about taking this company further. We do believe that the level of shares that we used to see in the past can back. I think the [indiscernible] the markets realized the great fundamentals of this company both in cost growth, operating margin et cetera. So I think at the end of the day the market will recognize all these and share value would go back rewarding all the shareholders that has confidence and remained with us.
Operator: At this time this concludes our question-and-answer session. I’d like to turn the call back over to Mr. Arie Trabelsi for closing comments.
Arie Trabelsi: Okay. Thank you for joining us today. I especially want to thank our employees, our partners, and new investors, for your continued support. We appreciate your interest in SuperCom. And we look forward to talk with you on the next call. Thank you.
Operator: Thank you for joining us for today’s SuperCom’s third quarter 2018 earnings conference call. You may now disconnect.